Operator: Ladies and gentlemen, welcome to the Richemont Full Year '24 Interim Results Presentation. I am Alice, your call operator. The conference must not be recorded for publication or broadcast. At this time, it is my pleasure to hand over to Sophie Cagnard, Group Corporate Communications and IR Director. Please go ahead.
Sophie Cagnard: Thank you, Alice, and good morning, everyone. Thank you for joining us for Richemont's half year results presentation for the period ended 30th September 2023. Here with us today are Johann Rupert, Chairman; Jerome Lambert, Group Chief Executive Officer; Burkhart Grund, Group Chief Finance Officer; Cyrille Vigneron, Cartier Chief Executive Officer; and James Fraser, Investor Relations Executive. I would like to remind you that the company announcement and results presentation can be downloaded from richemont.com, and that the replay of this audio webcast will be available on our website today at 3:00 p.m. Geneva time. Before we begin, please take note of our disclaimer regarding forward-looking statements in our announcement and on Slide 2 of our presentation. Turning now to the presentation. Burkhart will begin by discussing key highlights in group sales. I will then provide further detail on the performance of our Maisons. Finally, Burkhart will take you through the financials and offer some concluding remarks. This presentation will then be followed by a Q&A session. Burkhart, over to you.
Burkhart Grund: Thank you, Sophie. Good morning to everyone listening, and thank you for joining us today. During the first half of the year, we faced growing headwinds, including an uncertain macroeconomic and political environment, unfavorable foreign currency movements and demanding comparatives. Nonetheless, achieved double-digit sales growth for the six months period ended September 2023 for our continuing operations with an increase of 12% at constant exchange rates and 6% at actual exchange rates. Operating profit of EUR2.7 billion was 2% lower over the prior year period, leading to an operating margin of 26%, a 210 basis point reduction compared with a year ago. Excluding the significant negative foreign currency impact, both operating profit and the resulting operating margin rose at constant exchange rates, as we will see on the next slide. Profit from continuing operations at EUR2.2 billion was 3% higher than in the prior year period. Cash flow from operating activities remained solid at EUR1.7 billion. Our net cash position was strong at EUR5.8 billion, taking into consideration the recent EUR2.1 billion dividend cash payment that was approved by shareholders at the 2023 AGM in September. Please remember that our net cash position excludes EUR0.7 billion of YNAP's net overdraft classified as liabilities held for sale. The double-digit half year sales increase at constant exchange rates reflected a very strong first quarter and softer second quarter, up 5% at constant exchange rates, highlighting the resilience of our Maisons in a challenging environment. Q2 sales were impacted by organic growth softening to high single digit in Asia Pacific and decreasing by 1% in Europe. At actual exchange rates, the second quarter sales were down 2%. Half year sales growth was led by the Jewellery Maisons and the Retail channel. The strongest regional growth was in Asia Pacific, fueled by the removal of COVID-related restrictions at the start of the year and the related resumption of travel by the Chinese clientele. Unfavorable foreign currency movements have also adversely impacted the gross and operating margins. The reported gross margin was 68.2% compared to the 69.9% margin at constant exchange rates. Operating profit from continuing operations of EUR2.7 billion was 2% down at actual exchange rates, but 15% up at constant exchange rates. At constant exchange rates, the operating margin rose by circa 90 basis points to 28.5% compared to the prior year period. Jewellery Maisons showed their continued leadership in the industry during the period, increasing sales by double digits and recording a strong operating margin of 35.5%. During the period, Richemont strengthened its corporate governance with the appointment of two new board members, Fiona Druckenmiller and Bram Schot as well as two new SEC members, Boet Brinkgreve and Swen Grundmann. It also released its ESG report in accordance with GRI standards. Let me now discuss the group sales performance in more detail, first by region and then by distribution channel. Unless otherwise stated, all comments refer to year-on-year changes at constant exchange rates. All regions posted growth with varied strength led by Asia Pacific where sales increased by 23%, making this region the largest contributor to the group sales increase. Sales softened to high single digits in the second quarter on the back of less favorable comparatives. The half year regional performance was driven by a 34% sales increase in Mainland China, Hong Kong and Macau combined following the removal of COVID-related restrictions at the beginning of the year increasing travel flows across these three markets, combined with favorable comparatives. Locations in the region that also showed strong growth included Taiwan, Thailand and Australia while other locations had varied and somewhat more muted performances. Overall, Asia Pacific represented our largest region with 42% of group sales, up from 39% in the first half of last year. European sales increased by mid-single digits, driven by the resilience of domestic demand and tourist spending, largely from American, Middle Eastern and more recently, Chinese clients. During the second quarter, sales were broadly flat, reflecting lower spend from the American, Middle Eastern clientele. Sales in Europe represented 22% of group sales in line with H1 of 2023. Notable regional performances came from France, Italy and Switzerland. Sales in the Americas were softer at reported rates and broadly in line with the prior year period at constant exchange rates on demanding comparatives with an improvement during the second quarter. Americans continue to spend abroad, mostly in Europe, though to a lesser extent than in the prior year period, partly due to the weakening of the US dollar euro exchange rate, which was at parity a year ago. Americas made up 21% of group sales, almost on par with Europe. Strong growth continued in Japan and the Middle East and Africa, sustained by the strength of tourism in Japan, particularly from the Chinese clientele and good support from both domestic and tourist spending in the Middle East and Africa. Combined, these two regions comprised 15% of group sales, broadly in line with the prior year period. Let us now turn to sales by clientele in the directly operated stores of most of our Maisons. This will give you an indication of the magnitude of sales growth. Starting with the Mainland Chinese clientele, you can see demand was strong in the first half of the year, with sales up by circa 50% over the prior year period and about 22% and 48% on a 2- and 4-year comparison basis. In short, sales with the Mainland Chinese clientele are well above the pre-COVID levels. There was softer demand from the American clientele in this first half with sales up around 3%, recording nonetheless, very strong rates on a two and four-year stack of around plus 40% and plus 140%, respectively. European clientele proved resilient with sales rising by about 8% over the prior year period and up almost 50% and 120% on a two and four year comparison basis. Note that the overwhelming majority of the spend by Europeans was domestic. The share of tourism-related sales has nonetheless continued to increase, reaching now approximately one quarter of group sales driven by the resumption of Chinese spend outside Mainland China with most purchases being made within Asia. Let us now turn to sales by distribution channel. Retail sales represented 69% of group sales, a 200 basis point increase over the prior year period. Retail enjoyed the largest increase among the distribution channels at plus 16% with double-digit increases at the Jewellery Maisons and the Specialist Watchmakers and growth in all regions. Sales benefited from a net increase of 27 store openings overall, most notably in Asia Pacific and the Americas, including the new Buccellati in Macau and the Panerai store in Seoul. Online retail sales at 5% of group sales were 2% lower versus the prior year period. Performance varied by region with higher sales in the Americas and the Middle East and Africa, and by business area with moderate growth of the Jewellery Maisons and Fashion & Accessories Maisons. Now moving to wholesale sales, which -- sales to monobrand franchise partners and third-party multi-brand retail partners, sales to agents and royalty income. Sales in the channel represented 26% of group sales compared to 27% a year ago. Wholesale sales increased by 5%, led by double-digit progression at the Jewellery Maisons and lower performance elsewhere. Sales growth was primarily driven by Asia Pacific and Japan. Direct-to-client sales, which represent sales in our directly operated stores and online retail sales make up 74.1% of group sales, representing a 120 basis point increase over the same period a year ago. This increase reflected the strength of the retail channel overall and the continued retailization of the Specialist Watchmakers, where the direct to client sales rose by 500 basis points to 59%. Nonetheless, the Jewellery Maisons continued to post the highest DTC rate at 82%. Over to you, Sophie.
Sophie Cagnard: Thank you, Burkhart. I will now review the business areas with all comparisons at actual rates. Let me start with the Jewellery Maisons, which include Buccellati, Cartier and Van Cleef & Arpels. Sales increased by 10%, fueled by growth in both distribution channels and region-wise, driven by Asia Pacific with sales up 21%, followed by Europe with sales up 7%. Higher sales, improved gross margin and good cost control led to a 5% increase in operating results, which reached EUR2.5 billion with a 35.5% operating margin. We continue to invest in the long-term future of the Maisons, including into manufacturing capacity and capabilities and targeted investments into distribution. Communication expenses increased as well notably linked to jewelry events. Here again, currencies weighed on results. At constant exchange rates, operating profit was up by 20% and the operating margin higher by 120 basis points. Let us now look at the main developments over the past six months. Good growth was seen across the main product lines. Iconic collections performed well along with other creative offers. In Jewellery, these included the Clash, Grain de Cafe and Trinity Collections and Cartier, [indiscernible]. In watches, the performance came from Panthere, Tank Normale and the precious offer at Cartier and Alhambra and Perlee at Van Cleef & Arpels. The creative designs and craftsmanship of our high jewelry collections have been rewarded with strong results across the three Jewellery Maisons with noteworthy successes from Le Voyage Recommence, Le Grand Tour and Mosaico collections at Cartier, Van Cleef & Arpels and Buccellati, respectively. The retail network was further upgraded with openings such as the new Buccellati store in Macau, the renovated Cartier store in Basel and relocated Van Cleef store in Hong Kong. 60% of Cartier stores are now under the new concept after five store renovations were completed, which included Nagoya and [indiscernible]. At the other Jewellery Maisons, renovations or extensions included Van Cleef & Arpels in Hawaii and Buccellati in Paris. To support the strong momentum in jewelry, production capacity is being enhanced with new facilities being built, acquired or recently completed between Italy, France and Switzerland, and this across all three Jewellery Maisons. Finally, the Cartier Jewelry Institute opened its stores to reveal the craftmanship involved in jewelry making and create interest among young people. In addition, Buccellati finalized an agreement with Scuola Orafa Ambrosiana to support the training of new apprentices and enable scholarships in goldsmith training. Let us now review our Specialist Watchmakers, where sales were 3% lower than in the prior year period, reflecting lower sales in the Americas onlyl partially offset by growth in Japan and the Middle East and Africa. Worth noting is the performance of the retail channel, which grew by high single digits and mitigated lower sales in the wholesale and online retail channels. As a result, retail penetration has increased to 57% of sales. Subdued sales, a strong Swiss franc and the internalization of stores impacted the operating result, which amounted to EUR391 million and generated a 19.7% operating margin. At constant rates, the operating profit and operating margin were down by 1% and 100 basis points, respectively. Iconic collections delivered a good performance, included from the Overseas and Traditionnelle collections at Vacheron Constantin, Reverso and Rendez-Vous at Jaeger-LeCoultre, Pilot's watches at IWC, Polo at Piaget and Lange 1 at Lange & Sohne. The level of direct client sales continued to increase -- circa 500 basis points to reach 59% of sales, providing the opportunity for an enhanced client experience and improved understanding of our clients' needs. During the period, focus continued on store internalization and enhancing store productivity. New store openings took place mostly in China and the US, including a relocated Panerai flagship store on Madison Avenue in New York and a new Piaget store in Sydney. The last six months saw two innovative initiatives to preserve and pass on heritage, craftsmanship and creativity. Vacheron Constantin and the Metropolitan Museum of Art in New York announced a partnership to develop a series of projects designed to showcase their respective rich heritages and ability to keep cultural legacies alive for future generations. Jaeger-LeCoultre and Michelangelo Foundation completed an inoculation of the Homo Faber Fellowship with a master class in creativity certified by ISEG Business School to be followed by residential placement in the workshop of [indiscernible]. Let us move to the other business area, comprising the Fashion & Accessories Maisons, Watchfinder company and the group's watch component manufacturing and real estate activities. Sales for the business area -- 1% down over the prior year period and broadly in line with the prior year for Fashion & Accessories Maisons with notable growth at Alaia, Delvaux and Peter Millar and mid-single-digit growth in the retail channel. There were subdued growth to -- declines across the business areas, main regions, which included the Americas, Asia Pacific and Europe. Nonetheless, direct-to-client sales continue to progress, increasing slightly to 56%, driven by higher retail sales. Overall, the other business area reported an operating loss of EUR6 million while the Fashion & Accessories Maisons reporting an operating profit of EUR25 million, driven by continued focus on creativity and cost control. The operating margin at the F&A Maisons amounted to 2.1%. Sales grew across most of our F&A Maisons with a noteworthy performance from leather goods during the period, notably Ballet Flats, La Minaudiere Coeur at Alaia, Brillant at Delvaux, Extreme 3.0 and Sartorial at Montblanc and the G.112 at G/Fore. Strong momentum was recorded at Alaia, Delvaux and Peter Millar supported by the strength of our new and existing collections. Select network extension initiatives included openings focused on Asia Pacific and the Middle East, such as the [indiscernible]. Finally, Watchfinder launched a third party marketplace in the United Kingdom in April, expanding the product offer through carefully selected professional sellers. This concludes the review of the first half performance of each business area. Burkhart, over to you.
Burkhart Grund: Thank you, Sophie. SP-5 Let me walk you through the rest of the P&L, starting with gross profit. Gross profit increased by 5% to EUR7 billion and represented 68.2% of sales compared with 68.9% a year ago. At constant exchange rates and compared to the reported H1 '24 number, gross margin was 170 basis points higher at 69.9%. Gross margin was impacted by increased production costs driven by inflation on raw materials and salary increases compounded by the impact of adverse foreign exchange movements on sales. These negatives were partly offset by higher production volume and price increases as well as favorable channel Maisons and geographical mix effects. Let us now look at net operating expenses, which rose by 9% compared to the prior year period at actual exchange rates and by 13% at constant exchange rates. These increases are well above the 6% increase in sales at actual rates, but broadly in line with the 12% sales growth at constant exchange rates. Selling and distribution expenses increased by 9% at actual exchange rates by 14% at constant exchange rates, primarily reflecting strong retail sales, larger retail operations in addition to inflation-driven operating cost increases. S&D expenses represented 23.4% of H1 '24 sales, a 60 basis point increase compared to 22.8% a year ago. Communication expenses were up by 9% over the prior year period at actual exchange rates and by 13% at constant exchange rates as the Maisons continued to invest in communication to support sales growth, primarily at the Jewellery Maisons and notably for Jewellery events. As a percentage of sales, communication spend was 8.6%, slightly higher than in the prior year period. Fulfillment expenses, that is the cost of filling -- fulfilling online orders from our Maisons and Watchfinder were in line with the prior year period at actual exchange rates. Fulfillment expenses represented 1% of group sales. Administrative expenses, which primarily incurred in Swiss francs were 16% higher than in the prior year period at actual and constant exchange rates and amounted to 8.9% of sales. Growth was largely driven by higher IT expenses and salary increases. Overall, net operating expenses amounted to 42.2% of group sales. This resulted in an operating profit of EUR2.7 billion, 2% down compared to the prior year period, leading to a 26% operating margin compared to 28.1% a year ago. Profitability was significantly impacted by negative foreign exchange movements during the period as we just saw, impacting by 300 basis points, both gross margin and operating expenses combined and as recapped in the current slide. In short, at constant exchange rates, operating profit grew by 15%, and the operating margin improved by 90 basis points to 28.5% compared to a 27.6% operating margin at constant exchange rates in the prior year period. Net finance costs eased to EUR52 million for the first half of the year. The EUR150 million improvement was mainly driven by three main items. First, fair value adjustments decreased by EUR136 million, reflecting reduced fair value losses on the group's investments in externally managed bond funds and money market funds. Secondly, there was a EUR63 million positive reversal in the net financial income line. These positive elements partially mitigated the net foreign exchange impact of EUR38 million on monetary items and hedging activities compared to the prior year period. Sales under discontinued operations, which consists of YNAP, were down by 13% during the period impacted by the challenging environment for multi-brand retailers. Factoring in the EUR527 million further revaluation of YNAP's net assets to fair value, the operating result from discontinued operations translated into a EUR603 million loss. As announced on the 23rd of October, we have received all necessary approvals from the various regulatory authorities to enable the progression towards completion of Stage 1 of the deal. We will touch on that later. Profit for the period from continuing operations increased by 3% to EUR2.2 billion, leading to a 21.1% profit margin for continuing operations. Our effective tax rate for the first half of the financial year of continuing operations was 18%. This is an organic rate for Richemont and it is in line with our expectations for the full year, absent any special unforeseen items occurring in the second half of the year and within our projected 18% to 21% range. Cash flow generated from operating activities was EUR126 million higher than the prior year period at EUR1.7 billion, reflecting slightly reduced operating profit from operating activities more than offset by lower investments in working capital. Let us now turn to our gross capital expenditure. Investments totaled EUR378 million, broadly in line with the prior year period. At 3.3% of sales, capital expenditure was slightly less than the 3.5% in the prior year period. 47% of gross capital expenditure related to point-of-sale investments mostly renovations and relocations of directly operated stores. New store openings include Van Cleef & Arpels in Barcelona and IWC in Berlin. Relocations and renovations included again, Van Cleef & Arpels in US, Costa Mesa, Cartier in Bangkok, [indiscernible]. Manufacturing spend was broadly stable at 20% of overall CapEx and mostly related to the Jewellery Maisons. Other investments made up 33% up CapEx and predominantly comprised IT investments. Let us now turn to free cash flow. Free cash inflow of EUR866 million was EUR58 million higher than in the prior year period. The improvement reflected higher cash flow from operating activities partly offset by higher net acquisitions of other noncurrent assets and higher lease payments. Our balance sheet remains solid. Shareholders' equity accounts for 46% of the total. Net cash amounted to EUR5.785 billion on 30th of September 2023. The EUR764 million decrease compared to the 31st of March 2023, which is more than explained by the EUR2.72 billion dividend cash outflow. The dividend payment reflects an ordinary dividend of CHF2.5 per A share plus a special dividend of CHF1 per A share, which were both approved by shareholders at the AGM in September. Let me now share an update on our ESG progress. Taking a compliance-driven approach, our 2023 ESG report, which we launched on the 2nd of June is our first to have been fully prepared in accordance with the global reporting initiatives or GRI standards. We have also increased the group's GRI disclosures significantly compared to last year. The notable 40 quantitative indicators independently assured by PwC as well as incorporating metrics underlying the Sustainalytics and CDP assessment methodologies. We have also published our EU taxonomy report for our Luxembourg-based Richemont International Holding on our website in compliance with the EU taxonomy regulations reporting requirements. This report provides clear and comparable information on our environmentally sustainable activities and investments in the European Union. As mentioned in May, we have now extended our speaker platform to external stakeholders to allow them to voice their concerns and contribute to Richemont's ongoing commitment to transparency and ethical conduct. As mentioned before, we have also strengthened our corporate governance with the appointment of two new Board members with deep sustainability expertise. At ESG in our business strategy, we have recently established the internal Richemont Sustainability Academy to upskill our colleagues and best support our continuous improvement approach. All these initiatives have been recognized by the ESG rating agency Sustainalytics with Richemont receiving an 11.3% risk rating score for its low risk exposure with a strong management labeling. This rating positions the group among the top 4% of more than 15,000 companies rated worldwide. Continue to work hard at nurturing the next generation of talent to ensure Richemont's long-term growth. Richemont owns and partners with a number of leading schools in the fields of luxury design, jewelry making, fine watchmaking as well as luxury management courses to best prepare the leaders of tomorrow. You can see on the left-hand side of the table, the schools we run and on the right-hand side, where we have built collaborations with academic partners. We also invest in an extensive apprenticeship program as part of our deep commitment to preserving special craftsmanship techniques requiring expert level skills and experience that are difficult and take time to acquire. Let us now move to the agreement with Farfetch and Alabbar to sell them 47.5% and 3.2%, respectively, of YNAP share capital, for which all regulatory clearances have been obtained. We are now working towards reaching completion of Stage 1. Work is focused on reviewing the terms for certain Richemont Maisons entering into Farfetch Platform Solutions or FPS, and marketplace agreements to accelerate the luxury new retail ambitions. At completion of Stage 1, Richemont will receive around EUR58.5 million of our Farfetch Class A or shares in exchange, 47.5% of YNAP. In the fifth anniversary of completion, Richemont will also receive equivalent of $250 million in Farfetch Class A ordinary shares based on the then current profit share price. Alabbar, [indiscernible] will acquire a 3% -- 3.2% stake in YNAP such that Richemont Holding and YNAP will be reduced to 49.3%. Our financial commitment towards YNAP is to deliver YNAP free of financial debt and with cash of $445 million. YNAP will use part of the cash to buy out its minorities immediately after completion, leaving it with circa $290 million of cash. Richemont will also make available to YNAP a committed credit facility for an additional $450 million for up to 10 years from the closing of Stage 1 that YNAP may draw upon if needed, subject to certain conditions. We have no other financial commitments towards YNAP and no financial commitments towards Farfetch. When Stage 1 is completed, we will proceed with the adoption of the Farfetch platform solutions to power the e-commerce operations of [indiscernible] and of the four YNAP brands to shift to a hybrid 1P/3P model. This will be gradually rolled out in the coming years as there are many integration protocols that need to be put in place, including for connecting the Maisons e-commerce operations in physical stores. Most of our Maisons will also open e-concessions on the far fed marketplace, enabling another access point for our clients. More details were likely provided at our fiscal year '24 results presentation in May. On closing of Stage 1 to year 5, Farfetch can potentially acquire our 49.3% stake in YNAP call option. In addition, Richemont could exercise its put options, hence sell its entire stick to Farfetch from year three to year five subject to YNAP achieving positive adjusted EBITDA in the 12-month period prior to exercise as well in three or four quarters over that same 12-month period. In May 2020, we announced the creation of a shareholder loyalty scheme to mitigate the reduction of the dividend paid for the year ended March 2020 following the COVID outbreak. This enabled us to preserve time, cash at a time of great uncertainty about providing loyal shareholders the optionality to recoup all and hopefully more than the reduction in the dividend. As long as the share price on exercise day is above CHF67, then it is worth exercising your warrants. Remember, 67 warrants are required to purchase one share at a price of CHF67. The exercise period for the warrants, which were issued on the 27th of November 2020 is due very shortly, starting from the 20th of November at 9:00 a.m. Central European Time until the 22nd of November at noon Central European time. Be aware, however, that South African holders will hold the A warrants through central depository participants will need to ensure the CDPs -- CSDP, sorry, submit exercise declarations between 9 a.m. South African Standard Time on the 17th of November and 12 noon South African standard of times on the 21st of November latest -- that are exercised and at today's price, they -- value and should be exercised, will be converted into A shares, leading to an increase in the overall share capital, details of which will be further announced and posted on the website on the 27th of November. Remember, the conversion of warrants into A share is not automatic. If you do nothing, warrants will expire value less and you will lose money. Before turning over to the Q&A, I would like to summarize and offer some concluding remarks. For the first half of this year, Richemont delivered good underlying operational and financial performance, notwithstanding the demanding comparatives of the prior year period while also facing increasing headwinds in terms of geopolitical and economic uncertainties as well as foreign exchange. Unfavorable foreign currency movements had a significant impact on sales, cost of goods sold and operating expenses, given our very strong base in Switzerland. Constant exchange rates, sales grew by double digits, following double-digit growth rates across all business areas in almost all regions in the prior year period. At constant exchange rates, operating profit increased by circa 15% and operating margin rose to 28.5%. Jewellery Maisons remains the strongest business area, reporting double-digit sales growth and a strong operating margin. Having received unconditional clearance from all relevant antitrust authorities for the Farfetch and Alabbar partnership with YNAP, we are now able to work on the completion of Stage 1. In conclusion, our robust net -- position enables us to continue investing into our Maisons and seize opportunities, notably in manufacturing and distribution to support long-term growth. Our resilience and solid balance sheet also give us confidence in weathering the current economic and geopolitical uncertainties and being able to maintain our ambition of delivering sustainable long-term value to employers to employees and shareholders. This concludes our presentation. Thank you for your attention. I will now hand back over to Sophie.
Sophie Cagnard: Thank you, Burkhart. We can now start the Q&A. [Operator Instructions]
Operator: We will now begin the question-and-answer session. [Operator Instructions] [Technical Difficulty]
Unidentified Analyst: So the first question on the comment on the outlook notably the soft landing comment. Maybe can I ask to expand on this comment, maybe also touching on what has been seen since the end of H1 and a broader comment on shape and views into 2024, please? And the second question is on the European performance. Europe as a whole was down, although the Europeans were called out in the presentation up high single digits. So I was wondering whether you could maybe provide a bit more color in terms of the drivers of Europe between the Europeans that we have seen, but also the tourist share and wholesale. And calling out European broadly in line with the previous quarter, are you not slowing down sequentially? It's a bit of an anomaly in this reporting season and an outperformance versus what we've seen from peers. So maybe could I ask on drivers that you've seen are driving this outperformance with the European class piece. Thank you.
Burkhart Grund: Let me start to tackle the first question you raised, because obviously when you ask for our outlook into 2024, calendar 2024, I think that's a very difficult undertaking or a very difficult question to answer because simply we don't know. What we have experienced very clearly over the course of this fiscal year or let's say, over the course of the last 12 to 18 months is a very strong impact not just on our business but on many businesses of reintroducing cost of capital, reintroducing and very aggressively reintroducing actually positive interest rates. Clearly, this is leading us now into a period of normalization also in our business or also in our so-called industry. We have been skeptical for quite a while about the outlook for China. There are and have been for quite a while, elements that in general way down on the Chinese economy and especially on the feel-good factor on which we, as an industry depend on the US has seen a normalization already in the last 12 months. I think we are faring okay in that area with currently growing somewhere between 3% and 5% as we've seen in the -- in our second quarter. The Chinese customer -- and let's detach us for a second from the Chinese economy has been showing strong growth in our first quarter or even the last quarter of our last fiscal year and has started to normalize as well because once again feel-good factor weighs on the Chinese customer as well. But we are quite happy with that performance because it's in line with what our expectations or where our expectations were. We have spelled out six months ago that we think that there will be growth coming out of the so-called Chinese cluster, which is happening. Growth has been strong in -- over the period that we're discussing here. And we also said it might take a few years to come back to probably the level of overall business, especially outside of China with our Mainland Chinese clientele. So I'd say, soft landing is our hope, but we will only know that when we look back at it probably in a year's time. Fiscal '24 outlook, you know we don't guide, and I don't think that especially in a period like today, we can. Jerome, do you want to look at Europe?
Jerome Lambert: Yeah, from -- for Europe, maybe two elements that you highlighted in your presentation, Burkhart. The first one is that it is that if you consider the semester, Europe has been growing at 5%, while the European -- been growing at 3% over the same period. So we have two motor with moderate growth, but the two motor are functioning with inflection in the second quarter where European clientele maintains the same trend than in Q1 and where our tourism was slightly less present, mainly again linked to the ForEx effect and the fact that the euro value is making -- purchase slightly less interesting for certain country origin. Out of that -- it's -- we have had a number of renovation, important renovation for many of our Maisons and in Milan or in Paris for Jewellery and for which business. Cyrille, do you want to give some color?
Cyrille Vigneron: Yes. To compare to last year. Last year, there was especially a very strong presence of American customers in Europe, because the dollar was very strong in the American economy as well. And this year, because of the lowering of the value of the dollar compared to euro and also the economy, we saw that as a slowing down, which was expected. The Chinese customers have not come yet to a level that were before pre-COVID and so that's where they saw summer kind of discrepancy. But for European customers, they have shown very strong resilience and continue to grow.
Sophie Cagnard: Good. Thank you and move on to the next question please.
Operator: The next question comes from the line of Louise Singlehurst with Goldman Sachs. Please go ahead.
Louise Singlehurst: Hi, good morning everyone. Thank you very much for taking my questions. Just two questions for me too, please. Just firstly, the surprise in the period, I suppose, when we first look at the results, and the underlying growth, particularly by region, the US absolutely stood out as a surprise for us externally. I'd be interested to know if it was a surprise to you internally turning positive in the quarter? And are we now at this normalization that you referenced with the US? Can we think of it as a lower but normalized growth level? And then my second question, just in terms of the Chinese cluster. Can you talk to us about the demand that you're seeing by the Chinese, just the appetite. There's obviously appetite for the customer when they're traveling, but has there been any change in appetite for spend when people are traveling? Is there still as much as excitement when you're seeing the Chinese customer shopping in Hong Kong or Japan than you would expect? Is there anything to really call out that you've seen in the last three months? Thank you.
Sophie Cagnard: Thank you, Louise.
Burkhart Grund: Yeah, Louise, let me -- Burkhart here. Let me start to dig into the US. Are we surprised? Well, we shouldn't be surprised. Now let's just look at this first quarter was slightly down this quarter slightly up. The difference is from the negative to the positive, but not in absolute numbers, not so huge. It is built on what we are striving for, for the mid to long term, which is having Maisons with strong brand equity. And this has made the difference in this quarter and let's say the net slightly positive results are a result of a few Maisons doing an outstanding job in the period. So I'd say it's marginally better and it's moved into the positive territory and it has not been a massive surprise for us, put it that way.
Cyrille Vigneron: It's Cyrille speaking for the second question about the Chinese cluster. So after the reopening of China, so domestically and then also reopening the borders, so a very, very big impact in Hong Kong, Macau and Hainan from January where people resume traveling in the area which was the closest and the easiest meaning not requiring visa or even being able to travel by car or by high-speed train. So we saw triple-digit growth in there and of course appetite for traveling, moving and coming to the closer region. Then expand a little bit more in Asia to Korea and Japan and also seeing in Thailand. Not yet so much coming to Middle East or to Europe for same question of our airline capacity, visa and other things which are practical questions. So the appetite to travel is clear and the appetite to also buy during the travel is clear as well in the region where these volumes have increased.
Johann Rupert: And maybe in terms of style, we see here that the offer when it comes to so-called quiet luxury is also more expected in this sector presently.
Louise Singlehurst: And can I ask if there's anything to call out by cohort in terms of spending, behavior, entry through to high end? That's my last question. Thank you.
Johann Rupert: In this part, we don't see this divide. We see a more interest for, I would say, strong Maison in demand compared to other. We see a very good trend in high-jewelry, fine-jewelry, and also expensive watches as well, but also the iconic products doing pretty well. So we don't see a divide by price point, it's more kind of a strong category with a strong brand.
Louise Singlehurst: Very clear, Thank you very much.
Sophie Cagnard: Thank you, Louise. Let's move to the next question, please.
Operator: The next question comes Thomas Chauvet with Citi Research. Please go ahead.
Thomas Chauvet: Good morning, Thomas Chauvet from Citi. Two questions, please. The first one on watches and whether cartier seat watches and specialist watchmakers, could you share your view on how you think the demand cycle is going to evolve in the next couple of years. We've seen three years of very strong growth across the industry, partly driven by savings and the other factors, but some kind of a exuberant shopping behavior would say, how are your watch maison preparing for potential further demand pressure to avoid some of the issues of the past, inventory buildup, parallel markets, brand dilution, and significant margin pressures? And the second question, long term on China, perhaps for Mr. Rupert, just over 10 years ago at the results presentation in Bellevue to the FY 2012, you famously said about China you felt it was a bit like having a black tide dinner on top of a volcano. Since then, you've managed growth relatively well in China and with the Chinese clientele, despite some headwinds, the gifting crackdown or COVID. How would you describe the potential of China and the Chinese shopper at this point in time in the cycle? What has changed? What will change and change in how you adapting underground and of course, abroad with to cater to the tourists? Thank you.
Jerome Lambert: Yeah, just thank you for your question. Jerome speaking for the watches. First, we see on the last 10 years, a growing demand for fine watchmaking on a constant basis. And when it comes to Richemont, again, in the numbers that Burkhart shared, you saw as well the CAGR in terms of clientele. And you saw that Richemont has been capturing higher and bigger market share in America and in Europe over the period. It helps for our watch business because we have been capable to expand and to be less geographically or limited than in the past. So point one. Second point that we've seen as well during the last five years is the interest of new generation for watches And that's constant for male and for female. 10 years ago, we may have had the eye watch syndrome or risk, but we have all seen that in fact, now that you wear a traditional watch, let's call them like that, and an eye watch simultaneously. So from these two effects, generation plus geographies, we foresee a constant positive evolution. And then we mentioned it as well this morning, what is still, I would say, always reinforcing or putting more emphasis on the cycle is that We are in an industry where wholesale and retail are impacting the numbers in their dynamic. And then, as you know, we've been putting a lot of emphasis on having our sellout over our selling. And therefore, we always anticipate what we can see or what we can call softening of trends during certain period of time. But if you look at it in a slightly longer period, you see a constant positive evolution of that market with stronger growth potential for the future.
Johann Rupert: I'd hoped, Thomas, that you'd forgotten about that black tie. When I was saying earlier on that, one of the things I missed when I got older was the certainty that I had when I was in my thirties. So I would say I spent 95% of my time worrying about events that may occur percent of the time. Exogenous factors. Now we certainly did not foresee the war in the Ukraine or the atrocities of the Middle East. So, barring exogenous factors, the things that are certain is that for more than a decade, we had, decade, we had to quote Alan Greenspan, irrational exuberance, but this time by the very people who uttered those words, where the central banks increased the money supply and that this was combined by fiscal irresponsibility. So they had to curb inflation. And whereas for more than a decade, free enterprise can't work without a hurdle rate. So people acted in an exuberant fashion. So in general, we will see a softening in demand across all categories, across all asset classes, whether it's housing, art, the automobile sector, because that's the goal of the reserve banks. Otherwise, how do you get inflation down? So -- and I suspect that interest rates will remain higher for longer than most people think. We prepared for that by a balance sheet EUR7 billion in cash and continuously supporting Maisons in terms of communication, building brand equity. How are we to grow? I know that we're increasing market share in jewelry. Still, despite new entrants, we're certainly increasing market share. In terms of our watches, you will recall when the democracy protest started in Hong Kong, the whole watch industry found out that we had a massive oversupply. And I have to state that, this was, to a very large extent, driven by the incentive structures that we all had which favored sell-in. So we took out about was it EUR300 million -- EUR500 million worth of watches. But interestingly the cost which was about EUR300 million we recouped over the next years because of lack of discounts. Because when we got supply and demand in line, it set off a chain of events. But importantly, the supply chain today is totally different to six, seven years ago. We have visibility and a lot more visibility. So our wholesale business, which are not, although they are clients, they also are partners. So we can monitor the sell out and we do it continuously. We can monitor the sell out so that we do not create or we do not even allow our partners, wholesale partners, to create excess stock. This is reflected in the severe discounts that permeated the whole industry, even the leader, up to four or five years ago. So I suspect that the exuberance of the last few years, well, it's already come to alt. You will recall we were the first to warn that America was slowing down since last October, November. We did it before the rest of the market. And whilst our competitors and analysts were still exuberant and optimistic about the resurgence of China, we cautioned that it would take longer. It did have an effect on the market, which showed that not everybody believed it. But it's not that the Chinese, that our psychographic group of consumers, it's not that they don't have money. So when we read about real estate, et cetera, et cetera, et cetera, that's not really affecting our psychographic group as much as people would fear. We've got to remember that one child policy is really in effect with our, let's say, 20 to 35, 40 year olds. Now each of these individuals has two parents and four grandparents. You get married, that's multiplied by two. They do have savings. But I think there was an effect psychologically with a lockdown. And so when we said in May that we expect this group of consumers to act more soberly than some of their Western counterparts, they were not going to go out and max their credit cards. So the demand is there, the affinity for our products, it's there and we see it the moment they start traveling in the adjacent areas. So I'm not pessimistic about China. I never said pessimism. I said caution because they are acting rationally. When people act rationally, they don't go and splurge. And I think the feel-good factor will come back. I know it's not politically correct to say so, but when you have a society of intelligent people who study STEM, instead of criticizing classical literature for being politically incorrect like their counterparts in the United States, that they work hard, they're smart, and they study future technologies, I fully expect them to continue to do better. I'm not, given what we know at the moment, obviously no exogenous shock. I'm very confident that the Chinese consumers will continue to display their affinity for our products. We are seeing it. That's about what I can say, Thomas.
Thomas Chauvet: Thank you, Mr. Rupert.
Sophie Cagnard: Thank you. So let's move to the next question, please.
Operator: The next question comes from the line of Zuzanna Pusz with UBS. Please go ahead.
Zuzanna Pusz: Good morning, everyone. Thank you for taking my questions. I'll speak to two. First of all, on the Jewellery Maisons margins, really well done to the team. I just wanted to check because I remember historically you said that the margins sort of will be around 3% in a bad year, around 35% in the good years. But clearly as of H1, the margin increase sort of, I would say slightly above 8% underlying. So I was just wondering, sort of excluding effects, of course, how we should think if anything has changed given the size of the division, if maybe this time when things are slowing, you could have a little bit of a, let's say, a higher level of the sort of a floor margin. So that's my first question. And the second question is on YNAP. Thank you for the update. But I was just wondering if you could maybe share with us a little bit more about the plan B. I mean, I know that the deal got all of the necessary approvals, but you're probably aware that there are some concerns in the market around just the overall health and future of the Farfetch business. So I guess, it would be helpful to maybe reassure the market investors that, if for whatever reason the deal doesn't conclude, I mean, is there a risk that YNAP would come back to your business? Any thoughts you could share on that front would be very helpful. Thank you.
Burkhart Grund: Yes, Susanna, good morning. Let me start with the jewelry margins. I always was very clear, right? It's not a guidance. It's an indication of a range in which we are comfortable, 30% to 35% at current market context et cetera, et cetera. Remember these are businesses that are highly cash flow generative but require also consistent investment over time and that view has not changed. Yes we are in a high margin business. And I would say the view has remained exactly the same. We don't adjust that every six months. Remember last year we were 37% in the first half and in the second half we tend to have higher outlays in spend and also in the network. And we have the peak selling season where we traditionally support more on the communication side. So that overall we were at the high end of the range for the full year fiscal 23. We are still in the same position, we're still under the same logic. These are very high margin business. We intend to max it out in a sense that we continue to invest.
Johann Rupert: Sorry, I wasn't aware of all of this guidance. No, it's not a high margin business. If you start saying that, it's a fair margin. And [I'm low] (ph) to predict that because the higher the value of high jewelry the margins are lower. So we have a far far lower margin on high jewelry. So it's the product mix to a very large extent that determines it. As on Farfetch YNAP, I think we must just put a little bit of context here. Since our real involvement started about 14 years ago, we've spent well in excess, close to EUR30 billion euro on communication and marketing and leases. So if you take a total exposure to online, you are talking about a fraction of that. And what are we trying to achieve? When we spend close on to EUR2 billion a year, which is more on communication, which is more than total YNAP exposure, YNAP Farfetch online exposure. We are trying for our consumers, our clients, to get to know us and our products. But in return, we don't really learn that much about who these clients are. So to give you an idea, just in the watch division, in the last three, four years, we used to get to know about 130,000 of our watch clients a year. Now it's over 600,000. And if we are -- and that's growing. So if we are to know our clients, luxury new retail is not just online. It's retail which is important, real estate, but enhanced by detailed knowledge of who the clients are. So as artificial intelligence becomes more pervasive, you need data, you need to know your clients or you can service them better. What we have found, and I'm talking now technically from our technical team, is that everything we expected in terms of technology from our far-fetched friends, they've delivered and we are satisfied. We believe that it's going to enhance our business model. I cannot talk about the affairs of a public company. It's just not proper. Had they been a private company, I could have given you far greater guidance, but they are a public company. What I am saying is that what we're interested in is the technical expertise and the possibility for getting integration between the systems and there my technical colleagues are telling me that they are happy.
Zuzanna Pusz: Thank you. May I just follow up about the -- I mean, I understand that you're happy with sort of the collaboration with on plan B?
Johann Rupert: Plan B or plan C or plan D or plan E, I cannot tell you about anything that a public company. I'm sorry, but I've never -- I've been involved, I've been in investment banking, I ran a bank, I've never ever, ever broken any security legislation in my life, and I do not intend doing it now.
Sophie Cagnard: Let's move on to the next question please. Thank you.
Operator: The next question comes from the line of Luca Solca with Bernstein. Please go ahead.
Luca Solca: Thank you very much indeed for taking my question. Luca Solca from Bernstein. Maybe linking back to the situation with YNAP, just assurance to get a sense that you have safeguards in your contract with Farfetch, that if things go wrong, you can get your business that would be handled by Farfetch under the Farfetch platform solutions agreement. You could get it back or not and how it would work in that case. Then as a separate question, what are your views at the moment? I make the most of the fact that Mr. Rupert is on the call. We had discussed in the past that soft luxury is still below scale. What are your views at the moment? The market is clearly going through a moderation that's going to be pressure on smaller companies. Would this be an opportunity to increase market share, not just organically, but also through M&A and what are your views on that front? Thank you.
Johann Rupert: Thank you Luca. Yes, we have safeguards, but as I said to you, we do have safeguards, but as I said to you, their technology that we have now learned is exciting. And I'm not going to expand further. Now, had I listened to you and had we done all the mergers that you'd expected me to do, would you have been very happy if you'd been a Richemont shareholder now? Would you like to answer me that then I'll carry on?
Luca Solca: Well…
Johann Rupert: Yes or no, it's a binary question Luca. Okay you don't have to answer it. No, you don't have to answer it Luca.
Luca Solca: Probably not. Probably not. Probably not. I think that sticking to organic growth is a good idea.
Johann Rupert: Okay. Luca, if you analyze it, we have outperformed our main competitors in the last six months, in fashion, in leather, in watches, in jewelry, et cetera, et cetera. And this has been going on for I think about five or six quarters now. So we have a philosophy Luca to rather build goodwill than to pay other people, exiting shareholders for the goodwill. Yes, it may take time, but we are seeing very, very good growth at [indiscernible], especially since Peter Millar joined. Buccellati is truly performing. We expect the same to happen with Delvaux. Remember when we bought Van Cleef, I think we paid EUR320 million or something -- US. Well it was about the same. The turnover was EUR60 million and they lost EUR60 million and not only from you, but at every Board meeting -- well, I would say once a year I had two directors asking me in very proper English, so when will Van Cleef ever be profitable? In the end I got so bored with the question that I said when we wanted to be. It today is an absolute star performer. Peter Millar, a star performer. And it's starting to be big enough to move the needle. The problem with M&A is that the companies that you truly admire and that have the right culture, which is critically important. If you buy a company with bad culture, you have to spend more management time fixing the culture. And it always turns out to be more problematic than you think. So when you're catching falling knives, you start diverting your attention from truly profitable future companies in fixing problems. So please do not expect us to make hugely accretive acquisitions. Rather expect us to use a few of the years, maybe two, three years, I don't know how long this is going to last, by carrying on building the brand equity and expanding on our existing Maisons. We are outperforming and I suspect that we will have to gain market share to grow in an overall market that I suspect will be flat. Yes, there'll be geographical differences. So you may actually pick up. Luckily, our products, our infrastructure and our brand equity is widely dispersed over the geographical and, dare I say, psychographical markets of the world. But thank you, I waited a long time to ask you that question, Luca.
Luca Solca: No, thank you, Johan. Thank you, Johan. Your answers are very reassuring, both of them.
Johann Rupert: Thank you.
Sophie Cagnard: Thank you, Luca. Let's move to the next question, please.
Operator: The next question comes from the line of Antoine Belge, BNP Paribas Exane. Please go ahead.
Antoine Belge: Hello, hi, it's Antoine at BNP Exane. Two questions. First of all, coming back to the performance of jewelry, which has been super strong, would it be possible -- I know you disclosed it only for the six months, but especially within Jewellery Maisons, what was the outperformance of jewelry versus watches? And also you know that there is a big debate about potentially jewelry being less resilient than, I don't know, let's say leather goods. That's not my thesis, but if you could maybe share some thought about how things could be different this time, maybe compared to the past with this very attractive category? And my second question relates to, I don't know, it's a bit boring, FX, but It's the topic of the first half, huge impacts. I understand the Swiss franc part, especially maybe versus [indiscernible] but for the rest, could you come back a bit about the hedging policy and why the impact was so visible in the first half. And also, would it be fair to say that maybe there's been not that much protection from hedging. It means that in the second half, there are less pressure. And also, how you approach OpEx increases, because it was at constant currency, I think an increase more or less in line with top line. I mean maybe in a normalization phase, even in your soft landing scenario, could OpEx be growing in line or a bit less than top line? Thank you.
Burkhart Grund: Let me start. I mean, first of all, we don't have watches versus jewelry, et cetera within a given segment. And I don't think we're going to start doing that now. I think as to your question or thesis, hard luxury, soft luxury, or jewelry, less resilient than leather, I think look at the numbers and look at the evidence that you see. Our chairman quoted that we outperform our peers in the first nine months. We looked at it nine months because that's how you compare it to how our competitors report. Our jewelry division has outperformed the fashion and leather division of our peers, of our competitors, and it's not a new phenomenon. It has been like this over the last two to three years. So I think today, I can only refer you to that. Look at how it looks with the reported numbers over the last three years. On the second question, same thing there. We don't guide on FX, on exchange rates, because we simply do not know. You're asking H1, H2 hedging, this has nothing to do with hedging, this has something to do with where we are located and where we generate our sales. Our sales, as most of our industry and our peers have a high US dollar part, which obviously, and our competitors have pointed that out as well, is suffering from the strength of the euro. On our cost base, we are Swiss-based, primarily, when we look at our manufacturing side of things. And we also have as our headquarters and headquarters of many of our Maisons are based in Switzerland, have a high exposure to the Swiss franc, which as you know, has strengthened against the euro. H1, H2, I simply do not know because I simply do not know how the exchange rates will evolve. The hedging is a 12-month rolling hedge. So it doesn't really necessarily have any short-term impacts here because we simply apply it as a program and not as a speculative instrument. We don't take a position, we have a hedging program that is locking in with a 12-month rolling basis. So I can't give you any smarter answer than that.
Antoine Belge: Okay, thank you. Maybe just following up. So it means that internally, even against a soft landing scenario, is your attitude to cost unchanged entirely compared to -- there's been quite a difference between Q1 and Q2. So still about this idea that jewelry is an attractive category and it's good to invest.
Johann Rupert: Difference between the categories is branded jewelry is still a very small percentage from the total jewelry market and as such you have more growth in gaining market share between branded and unbranded jewelry. That's the key driver, overall driver. And then secondly, in the branded jewelry market, we gain market share.
Antoine Belge: Thank you very much.
Johann Rupert: Thank you.
Sophie Cagnard: Thank you, Antoine. Next question please.
Operator: The next question comes from the line of Edouard Aubin, Morgan Stanley. Please go ahead.
Edouard Aubin: Yeah. Good morning. Two questions for me. I think they are for Cyrille, but I'll let you decide. The first question is a really big picture, but looking at counterfeits in the jewelry category. So I guess counterfeits have existed for as long as the luxury goods industry has existed, but it seems that the importance seems to have clearly increased in recent years and given that Richemont owns so many iconic jewelry lines, you seem particularly vulnerable and potentially impacted by that. So, are your checks also indicating that this is picking up in terms of counterfeits and kind of what are you doing to address this problem? And then the second question is just to follow up on Louise's question on the kind of the profile of the consumers and what you just said. But I think you said you're not seeing really any change in terms of price point rather by brands. But if you look at the kind of income brackets, are you this year still able really to recruit kind of from the middle class as much as you've been over the years or really are you seeing more high net worth kind of driving the growth? So I'd be interested to have some follow up and more color on that. Thank you.
Johann Rupert: I'll just start with counterfeiting, it’s Johann here because I've been around Cartier since 1976. It depends what you call counterfeiting. We had a German producer of Trinity rings. That was really remarkable. And it took us a while to stop him. We had a Mexican gentleman who opened a cartier store in Mexico that he owned. And I never forget in 1978 when Alain Perrin launched the Santos. He came to New York, I was working there at Lazards at the time, to complain bitterly about the quality of the bracelet that he had to service in his store. And I said, but hang on man, you do not even own Cartier, but you've built a boutique that looks like ours, you make your own products, you brand them Cartier. So we've been around for a while experiencing, by the way, later on became internalized and became one of our very best partners. So we had JV, it's been around for as long as we live. I don't think we have seen an upsurge in counterfeiting. So -- and trust me, we monitor every single market. We literally scan billions of pages with our Alibaba partners. It's part of our online experience where we actually look at the imprints continuously and we haven't really seen. We have seen a few of our big competitors copying our designs, shamelessly dare I say, where we have to take them to court. But we haven't really seen a problem with counterfeiting as such. People copying our iconic designs, yes, we have seen problems. But luckily the clients, it's very difficult in jewelry. When you're a new entrant, you're a fashion company and you start playing in the jewelry business, because the clients know that the one company has been around for over a century and a half. And so when they see designs, they recognize them. But the product categories, yes, get attacked with other designs, but as I've said, and I can say it in defense of Cyrille and Nicolas, they've managed to increase not only volume but market share. So Cyrille, please.
Cyrille Vigneron: Yes, and so when it comes to this question of counterfeit or intellectual property, more and more our customers are really, really conscious of that. And on the other side, through internet search, you can identify faster. So it's much easier to act on before, so we don't see increase. What we see is increase of our customers wanting to have authentication, and we work on that also internally to give them safety. But things are not worsened.
Johann Rupert: Very good point that Cyrille just made. We are very well progressed into, and it's very sophisticated, but to actually give certification when you buy from a love bracelet, obviously, two watches, high jewelry is not a problem, but because they're unique pieces, where we can actually give a digital certificate to a company the product. And we will even be able to retroactively do it for customers that have Le Clou or love bracelet for the authenticity. There's another, it's a very interesting question and very good question, but countries that did not have their own products that needed intellectual property protection tended to be more lacks on providing IP protection. But as we see countries, if you look for instance at China and electric cars, they will dominate the market. Europe. So their own producers are entering the luxury goods business with some very lovely products. They will then demand of their governments to strengthen intellectual property protection. So there's been a very good tendency and a trend in the world where the IP protection is no longer just requested from, let us say, the European or the older Maisons and older trademarks. This is increasingly being demanded by, for instance, Chinese industrialists who have their own IP to protect. So it's a point that I didn't think of, but to support Cyrille, we really seen a far better protection and with resultant customs protection and scanning. But it's a constant monitoring process. But I must just finally add, about 20 years ago, one of my Cartier colleagues moaned like crazy about copying and I said there's a far worse thing, not being copied. If your watch is not being copied, it means you've got a failure on your hands. So it's actually, as they say, flattery -- imitation is flattery. So we will know immediately whether something is a hit by people attempting to copy it. I hope that's a satisfactory answer.
Cyrille Vigneron: And for the second question, we don't see a difference into the, I think, a different customer profile, meaning upper middle class or the high net worth individual. What we can see, and what Johan mentioned, that people are more quiet or reserved. So we see people take more time to decide in all categories and they take that. So there's something kind of taking time to consider and to make sure about decision, which favors, you see, the well-established brands compared to those who are just speculating. We see also that on the second-hand market, where there was kind of a crazy price that comes at some point just for speculation, and it has calmed down a lot. So it's more this question of calming down, taking more time for decision, but not a question of customers profile. They act more rationally all across.
Johann Rupert: And they also as you said earlier on Cyrille, they feel comfort with authentic brands.
Cyrille Vigneron: Absolutely. Reassuring.
Johann Rupert: Reassuring, that's a better way. Reassured by that.
Sophie Cagnard: Okay, Edouard, let's move to the next question.
Operator: The next question comes from the line of Jon Cox, Kepler Cheuvreux. Please go ahead.
Jon Cox: Hi, yeah, good morning, Jon Cox, Kepler Cheuvreux. Thanks for taking the questions. I want to come back to what my colleague was saying just on in terms of the margin FX headwinds. You mentioned 250 basis points impacts on margin in H1. Just wondering, going into the second half of the year, the currency headwinds based on the spot rate are probably about half of what they were in H1. If that's the case, should we just expect half of those 250 basis points? And as part of that, given your commitment to equalize prices globally, wouldn't you start to actually increase prices in those areas where you're getting that sort of negative transaction impact because of the Swiss franc cost base? So will you be doing price increases in H2? And as part of that, I see that your watches and wonders next year is going to be -- is going to fall into the new financial year. I know typically that can be like a EUR50 million spend. I guess that will now be in the next financial year. So it's like a margin question. The second question, just a technical one on your warrants scheme, which is great. It looks like it's rewarding shareholders. But it looks like you're just going to dilute shares by about 3%, even though you're going to get CHF67 francs per share. Are you going to sort of try and neutralize that at all? Because obviously that CHF67 francs per share cash in, that's just going to stack up on your cash pile or are you going to do something to try and offset it so the dilution would be the fair amount which would probably just be you know 1% of new shares. Thank you.
Burkhart Grund: John, there was I don't know how many questions, probably five or so. I mean, once again, I let you figure out the FX question because honestly, yes, obviously in the second half of the year, the dollar has, I mean, last year has started to weaken, which would argue for having a lesser impact on our top line flowing through. We'll have to see how that plays out. The Swiss franc is the other question that we're unable to answer right now, because once again, that has an impact on our cost of sales and our cost base. But directionally on the US dollar, obviously you observed the right thing.
Sophie Cagnard: There was a question on price increase.
Burkhart Grund: But I think there was a question, sorry, there was also a question about Watches and Wonders. Yes, I would say the biggest part of the spend on Watches and Wonders will happen in the next fiscal year, meaning the spend will be split over the end of this year and the beginning of next fiscal year.
Jerome Lambert: Yeah, Jerome speaking, just watching Wonders takes us six to eight weeks to build, so we have to pay our suppliers during these weeks, So the cash effect of it is quite diluted between the exercise. It's very, very marginal.
Burkhart Grund: Yeah, cash effect is marginal and the spend is split. Pricing?
Jerome Lambert: So there were some price increase that already happened before that and so we don't plan a new one. And there was equalization of prices mentioned because the Japanese yen was very low. We adjusted slightly but that's all. I don't think the luxury goods industry will be using pricing as a tool over the next two years and we are very, very glad that we did not use pricing like one or two of our competitors because today the customers remember. And there is a reluctance -- some people increase the prices for similar products by 60%, 80%. And I think today they may regret having done so. In terms of the loyalty scheme, you will recall that we did it because we halved the dividend when we lost in April at the beginning of COVID nearly EUR430 million in a month. And it really was a bet on humanity's capacity to find a vaccine and for it to happen within three years. So we felt that we were going to reward the shareholders for the cash that they were losing in the dividend. And we're very happy to say that that has occurred. In terms of dilution, the people who kept their shares, it's as Mr. Buffett said, how big is the cake? Cake doesn't increase, you just slice it. If you have a pizza and you slice it in 4 or 12, it doesn't increase the size of the pizza. So anybody who kept his shares and who exercised the warrant is better off. Do trust me, I never sell shares and I've done the calculations myself and I'm exercising.
Sophie Cagnard: Thank you, John. Let's maybe -- it's already 11:12. Maybe the last question? Next question please.
Operator: The next question comes from the line of Thierry Cota, Societe Generale. Please go ahead.
Thierry Cota: Yes, good morning. Thank you for taking my question. This is Thierry Cota from Societe. I just have one left actually. On the watch industry as a whole, Switzerland indicated recently that in their view, the selling and the fact of Swiss watch exports data is above sell-out currently in the industry and above actual demand. So I understand your cautious policy of selling below sell-out, but maybe it's not the case of your peers or some of them. I was wondering whether you observed that as well and if there was any concern about the health of the overall industry for you in this respect. Thank you.
Johann Rupert: I cannot speak on behalf of Watches of Switzerland or our competitors, but I would be very surprised if our biggest competitor is not a lot smarter. And if they are not selling, I'm pretty sure they're not selling in more than they're selling now.
Jerome Lambert: But maybe as well to head, it is also that our watch industry is also still very run by calendar, or by the regular calendar. So means festive season is a very important period. And we are selling goods. So these goods need to be shipped in these countries. So it can take according to the logistics supply chain of the different maison, a few months or a few weeks before the product arrived. So I think that out of the sell-in and sell-out, the goal is not to be too sensitive to quarterly data when it comes to watches, particularly if you are after a manufacturer summer break in Switzerland, not exporting during quasi six weeks and then manufacturer reopen and then you export more. And then if you have the cut of the quarter between that period, you can misread very quickly in geographies, performance, penetration and this kind of thing. So it's at least to have caution in the analysis of these numbers, of the export numbers on a quarterly basis I guess.
Johann Rupert: It's a very good question. But I think all of us in the industry, plus wholesale that I actually call partners, not clients, have learned the danger of overstocking. So, I do not think the people are going to make the same mistakes that we all made five, six years ago. But there's also the question of holding on to inventory. When you have very low interest rates, it's a lot easier to hold on to stock. So I think we have to realize that the Fed is succeeding and there is a tamper -- there is a tapering down. To get inflation down, they've got to drive down wage demands, which means, unfortunately, they've got to estimate how high they politically allow to get unemployment. Secondly, they're dealing with lag indicators, not lead indicators. And one must be fearful that they don't overshoot, because their track record up till now in overshooting, in oversupplying liquidity is so woefully bad that this is one of those 95% things that I worry of, 95% my time with 5% realization, maybe this realization is higher. So this will have an effect on business in general, including our wholesale partners, that the cost of holding on to stock will be a lot higher. So let's assume that most of us do not really expect. If you want to grow your sales, you're going to have to increase market share. But that also has another thing in it, which is, I'll give you an example. To make a complicated Lange & Sohne watch, you have to be a watchmaker for at least 15 years. 15 years ago, there were not too many people in [indiscernible] lining up outside of our factories looking for work. So when we have in a number of our watch manufacture long waiting lists, these are not created artificially, they are simply created by the lack of capacity because of skilled artisans. I always joked that we will sell less Langes than Ferrari will sell cars. Now it's off. So Lange is off. And clients are willing to wait for longer time. So certain watch manufacturers will not suffer simply because they're limited by supply capacity because of the capacity of human beings. Others will reach market supply capacity a lot quicker. So we should really look deeply into the numbers and adjust our total supply chain accordingly. And there, luckily, we have, I would say, I don't know the factor of what more visibility than we had six, seven years ago. So, and our supply chain is more flexible, quicker. For instance, we talk about sober watches. We noticed that seven, eight years ago. And as the cause of the Hamburger watch through Panerai, we cautioned our colleagues, thinner watches, smaller watches and more platinum white gold because people are not going to want to show. So that took us two or three years, because you can understand, to move simply from bling to sobriety, it took two or three years. That's paying off now. We see a long waiting list for watches that are understated, even at Cartier. It’s -- so luckily we foresaw that a while ago and geared our production and our launches toward that.
Jerome Lambert: For example, our Tank Normale, which was released in Platinum, could be oversold 10 times.
Johann Rupert: Exactly.
Jerome Lambert: It was limited quantity and it was really well received. Or the anniversary watch for the Pebble or the crash watch are really in high demand, but they are limited and that makes their value.
Sophie Cagnard: Good. So I think this concludes the results presentation. Thank you very much for attending. And if you've got any more questions, James and I are here to help. So don't hesitate to call. Thank you. Have a good day and a good weekend. Bye-bye.
Burkhart Grund: Thanks. Thank you.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing chorus call and thank you for participating in the conference. You may now disconnect your lines. Goodbye.